Operator: Hello. My name is Larisa, and I will be your conference facilitator. At this time I would like to welcome everyone to the Baker Hughes First Quarter 2014 Earnings Conference Call. (Operator Instructions). I will turn the conference over to Mr. Trey Clark, Vice President of Investor Relations. Sir, you may proceed.
Trey Clark: Thank you, Larisa. Good morning, everyone, and welcome to the Baker Hughes’ first quarter 2014 earnings conference call. Here with me today is our Chairman and CEO, Martin Craighead; and Peter Ragauss, Senior Vice President and Chief Financial Officer. Today’s presentation and the earnings release that was issued earlier today can be found on our website at bakerhughes.com. As a reminder during the course of this conference call we will provide predictions, forecast and other forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance, but involve a number of risks and assumptions. We urge you to review our SEC filings for a discussion of some of the factors that could cause actual results to differ materially. Also, a reconciliation of operating profit and other non-GAAP measures to GAAP results can be found on our earnings release and on our website at bakerhughes.com under the Investor Relations section. And with that I will turn the call over to Martin Craighead. Martin?
Martin Craighead: Thanks Trey and good morning. During the first quarter Baker Hughes delivered increased earnings in the face of some challenging market conditions. This outcome is the result of solid execution across the enterprise, leading to improved operating efficiency and accelerated delivery of innovative new products and services around the world. Let me quickly share a few highlights. In Africa newly won work in Angola and Ghana is generating strong growth and helping to expand our share in critical deepwater markets. In Nigeria we are deploying our latest reservoir evaluation technologies leading to outstanding results. Performance in Africa has been excellent and helped us to offset some of the worst winter weather we have ever experienced in the North Sea and Russia. In the Middle-East our people did a great job getting our Iraq operation back to work safely and efficiently following the shutdown late last year. The resumption of activity in Iraq along with increased drilling activity in Saudi Arabia, the UAE, Malaysia and Australia resulted in record revenue for our Drilling Services and Drilling Fluid product lines in the Middle-East, Asia Pacific segment. The strong performance of these product lines coupled with the rebound of our Iraq business contributed to improved results in this segment. In Latin America, our relentless focus on the quality of our earnings resulted in steady profitability despite the seasonal drop in product sales. At the same time we continue to align our business to projects where Baker Hughes provides the best value, where we are becoming the company of choice to execute some of the world’s most challenging projects from heavy oil production in the Andean, the complex well construction in deepwater Brazil. And in the United States we encountered a decline in well count caused by severe weather across the Rockies and the Northeast. Despite the challenge we were able to deliver improved operational performance, including increased revenues and profit margins. Although most of the North America revenue increase can be attributed to the seasonal peak in Canada this improvement alone doesn’t account for the sequential increase in margins. The structural improvement in our North American profitability was accomplished by executing our plans to enhance operating efficiency and by leveraging strong demand for newly introduced technologies, everything from highly customized solutions for the ultra deepwater market to brand new completions and production technologies tailored to onshore shale production. Let me share an example. Last quarter I gave you an advanced look at Shadow Plug. This is the completions product that incorporates nano technology to reduce the time and cost to complete an unconventional well. Shadow Plug is performing well in United States and Canada. In some cases customers are ordering this product on spec to secure access to this groundbreaking technology and ensure they aren’t left behind in their relentless efficiency raise. And I am encouraged by the demand that we are seeing for this product which is now gaining interest in international unconventional plays. Shadow Plug is just one of dozens of innovative new products and services recently launched that is early in its early product lifecycle. And it’s products like these that contributed to our first quarter performance and which will support earnings growth going forward. These new products are made possible by our Global Products and Services group which continues to quicken the pace of innovation and new product delivery. The solid performance of our Global Products and Services group and growing momentum of our operating segments had been underway for some time, as evidenced by our 10% growth in sales and 25% growth in adjusted operating profit compared to this time last year. Also during the quarter we took actions to support future earnings growth. We strengthened our alliance with CGG and announced an exclusive agreement to offer RoqSCAN technology. This service adds to our reservoir evaluation capabilities and is designed to help our customers optimize production from shale plays. In our Industrial Services group we announce the acquisition of a complementary pipeline services business which will add a critical new inspection technology and expand our international footprint in the rapidly growing midstream market. And last week we announced the acquisition of a Software Technology Company, strengthening our capabilities around remote monitoring and real time data management. The addition of these new capabilities is part of our strategy to continue innovating and integrating new products and services supporting long term profitable growth. Later in today’s call I’ll share my outlook for our business going forward. But first let me turn it over to Peter for additional details on the quarter and our guidance on the near term. Peter?
Peter Ragauss: Thanks Mart and good morning. Today we reported adjusted net income for the first quarter of $369 million or $0.84 per share. Adjusted net income excludes $21 million in after tax severance cost or $0.05 per share and an after tax amount of $20 million or another $0.05 per share for costs relating to a technology royalty agreement. Compared to the prior year adjusted earnings per share increased $0.19 or 29%. On a GAAP basis net income attributable to Baker Hughes for the first quarter was $328 million or $0.74 per share. Revenue for the first quarter was $5.73 billion, an increase of $501 million or 10% compared to the same quarter last year. Adjusted EBITDA for the first quarter was $1.05 billion, up a $154 million or 17% year-over-year. To help you understanding of the quarter’s results I will bridge last quarter’s earnings per share to this quarter. In the fourth quarter we posted GAAP net income of $0.53 per share. First add back $0.06 for severance cost which were highlighted in the fourth quarter. That brings us to a fourth quarter adjusted EPS of $0.62. Moving to the first quarter add $0.09 for North America operations due to actions to improve U.S. profitability, favorable mix in the Gulf of Mexico and the seasonal activity increase in Canada. Add $0.09 for international operations, due to our resumption of activity in Iraq, which was partially offset by the seasonal decline in year-end product sales across all regions. Subtract $0.01 for Industrial due to normal seasonality in the winter months. Add $0.03 for reduced corporate expense and add $0.02 for lower taxes and interest expense. That brings us to adjusted earnings per share of $0.84 this quarter. To get to GAAP earnings per share of $0.74 subtract $0.05 for severance and $0.05 for cost associated with the royalty agreement. From this point onward in the conference call any comments on revenue, operating profit and operating profit margins refer expressly to Table 5 in our earnings release which excludes these two adjustment items. Taking a closer look at our results from operations, revenue growth in America was $2.78 billion up $32 million or 1% sequentially. Compared to the prior year revenue was up a $173 million or 7% despite the rig and well counts being up only 1% and 4% respectively. North American operating profit was $300 million, up $59 million sequentially. As a result our North America operating profit margin was 10.8% which is an improvement of 200 basis points sequentially. The increase in revenue is almost entirely attributed to Canada which reached to peak activity levels during the quarter. The U.S. onshore market activity was impacted by severe weather across the Rockies and Northeast resulting in reduced revenue. However this was offset by increased activity and favorable mix in the Permian which included strong sales of Drilling Services and Drill Bit. Additional [help] came from sales of newly introduced completions in artificial lift technologies across North America. Profitability was favorably impacted by the Gulf of Mexico due to a rich mix of sales late in the quarter. This included the deployment of new drilling and wire line technologies. Additional profit gains were also realized from the seasonal increase in Canada, further improvement in our U.S. pressure pumping business and improving operating efficiencies across the region. These improvements in profitability and particularly the strong contribution from the Gulf of Mexico late in quarter resulted in North American margins rising slightly above almost our most recent guidance. Moving to international results we posted revenue of $2.63 billion, down a $136 million or 5% versus the prior quarter and up $296 million or 13% compared to a year ago. International operating profit was $347 million, which is an increase of $20 million or 6% versus the prior quarter and up $66 million or 23% compared to the same quarter of 2013. Our Middle-East Asia Pacific segment delivered solid revenue for the quarter as the seasonal drop in year-end product sales was almost entirely offset by the resumption of activity in Iraq. Likewise the sequential improve in profitability for this region is also the result of reduced losses in Iraq. Our Europe-Africa-Russia Caspian segment also experienced a seasonal decline in year end product sales as well as foreign exchange losses in Russia Caspian. Activity was further impacted by cool weather conditions in the North Sea and Russia. These reductions in activity were partially offset by favorable mix in the UK and growing profitability resulting from newly awarded projects in West and Central Africa. In Latin America revenue fell sharply due to the seasonal decline in product sales along with actions we are taking to reduce our exposure to low profitability markets. However the detrimentals were minimal due to continued efficiency gains across the region as well as the favorable sales mix in the Andean drill market. For our Industrial Services segment we posted revenue of $321 million, up $32 million or 11% compared to the first quarter of last year primarily as a result of growth in our Process and Pipeline Services business. Operating profit margins were 8.7%, up 40 basis year-on-year. Looking at the balance sheet we ended the quarter with a cash balance of $1.2 billion, which represents a sequential decrease of a $199 million. Free cash flow for the quarter was in line with the first quarter of last year as well as our expectations due to typical seasonal cash requirements. Total debt increased to $122 million during the quarter to $4.5 billion and we ended the quarter with a total debt-to-cap ratio of 20%. Capital expenditures for the quarter were $439 million, down $94 million compared to the most recent quarter. And finally we repurchased 3.4 million shares on the open market during the first quarter totaling $200 million. This leaves $1.45 billion remaining under our previously announced authorization to repurchase shares. Now let me provide you with our guidance for the remainder of 2014. Our activity outlook for North America is relatively unchanged. During the first quarter the rig count increased 6% in the Permian. We expect continued rig count growth throughout the summer and fall leading to an increase of about 10% in this basin over the course of the year. This growth in the Permian is expected to contribute to a 4% increase in the overall U.S. rig count for the year with an average rig count of 1,830. U.S. onshore well count on the other hand declined 3% during the first quarter due to the severe weather conditions previously highlighted. Despite this drop in wells at the beginning of the year our full year forecast had not changed and we continue to project a 5% increase in the U.S. well count this year. Turning to the U.S. offshore market our rig count forecast remains unchanged and is still expected to increase 5% in 2014. In Canada we continue to project a 5% increase in rig count for the full year. During break up in the second quarter rig counts are expected to average about 170 rigs. For the second quarter in North America we expect the seasonal activity drop at Canada to reduce our revenue and margins. Additionally we don’t expect the rigs mix of business in the Gulf of Mexico to repeat in the second quarter. However anticipated activity growth in the U.S. onshore market and our improving operating efficiency are expected to partially offset reduction in revenues and operating profit. As a result we expect only a slight decline in our North America revenue and margins in the second quarter. Looking outside of North America our international rig count forecast has been revised downwards slightly from 10% to 9% for the year. This is due to less onshore activity projected in Latin America specifically in Mexico. The Latin America rig count is now expected to only rise about 2% this year. For other reasons our rig count forecast is effectively unchanged and we still project healthy growth in the Middle East, Asia Pacific and Africa. For the second quarter we expect seasonal improvement in our International Operations and Industrial Services, with modest growth in revenue and operating profit for these segments. In respect to other items such as interest expense, corporate costs and capital expenditures our guidance remained unchanged from our last earnings call. To summarize, for the second quarter we expect the seasonal drop in our North American business to be more than offset by gains in other segments, leading to earnings growth similar to the first quarter. At this point I will now turn the call back over to Martin. Martin?
Martin Craighead: Thanks Peter. As we look ahead this year we see a number of positive trends unfolding. From a macro perspective the environment is favorable for the industry. In its April 2014 oil market report the IEA forecasts the demand for oil to increase by 1.3 million barrels per day. This supports our outlook for oil prices which we project to remain stable for the year, averaging around $100 per barrel. Taking a look at natural gas, U.S. working gas in storage is currently 1 trillion cubic feet below the five year average. Getting storage levels back to average before next winter’s drawdown would require an addition of another 3 trillion cubic feet of gas and that sort of addition would require injection levels to approach record levels every week between now and then. With gas storage at this level the prices are higher than many would have guessed only a few months ago. When coupled with favorable oil prices this environment fares well for our customer’s cash flow and spending capacity. Therefore it’s not surprising that activity is increasing in most regions of the world. In Asia Pacific offshore rig counts have increased to the highest level seen since 2010, with strong activity in China, Malaysia, Vietnam and Australia. In the Middle East a similar story is unfolding in the onshore markets, including the highest active rig count Baker Hughes has ever reported in the Kingdom of Saudi Arabia during the month of March. And in the U.S after several months of declining well counts we’ve finally rounded the corner with well counts set to rise led by solid growth in the Permian. The need for higher technology is also rising in the Permian with more horizontal drilling, longer laterals and greater reliance on new products like Shadow Plug. This trend of increasing service intensity is being replicated around the world. Wells are deeper and harder, completions are more complex, production curves are declining faster and the aging midstream infrastructure is working well beyond it’s time. All of these trends are positive for the service industry and play particularly well to the strength that they produce. Our strategy is to leverage new technology development and our global supply chain to convert innovation into earnings. I would like to highlight just a few examples of the strategy and action during the first quarter. I am extremely pleased with our continuous success in Nigeria where we worked with some of the world’s largest ILCs and partnered with an emerging group of highly capable local independents to help enable energy production in this important market. The key to efficient development in a high cost deepwater market like this is having access to fast and accurate reservoir knowledge. And we’re seeing a growing appetite for Baker Hughes newest reservoir evaluation services. During the quarter we successfully deployed a series of latest generation logging while drilling services on several projects. This included FASTrak, which is our industry leading technology which provides the customers with down-hole reservoir or analysis and high quality fluid examples during the drilling process. Also during the quarter we completed our first GOA walkaway down-hole seismic survey in Nigeria for a major customer. When incorporated with surface seismic data a comprehensive geophysical model can be produced helping to define the boundary and volumes in the reservoir. Helping enable production on the world’s most challenging projects like these requires the very best in technology and the ability to execute. Brazil is a perfect example, since we helped enable the first horizontal presalt well there years ago Baker Hughes has provided drilling services for the vast majority of deepwater wells in Brazil, including at least 80% of the presalt wells and today we remain the go-to-service company for the toughest wells. During the first quarter we successfully drilled the first of several development wells on the deepwater campaign, a unique and difficult heavy oil play. The challenge was to place a horizontal well bore within a short interval where the rock formation is soft and interspersed with water flow downs; achieving a tight build angle in such a short interval while maintaining well bore stability in this difficult drilling environment was considered by many to be beyond the technical limits of the industry. Our solution was the integration of several advanced technologies across multiple product lines. Working closely with the customer we assembled a team of well construction experts and engineering system which integrated [wireless] drilling equipment, advanced drilling services to provide geo-steering, high technology logging-while-drilling services to measure the formation, remote monitoring to detect water flow and unique drilling fluids formulated to maintain water stability in using a [wireless] system. Through this integrated approach and close partnership with our customer we were able to drill the undrillable on target, ahead of schedule and under their budget. When it comes to complex projects like these Baker Hughes remains the company of choice. This continues to be the case in the Gulf of Mexico. As a reminder last year we drilled the deepest well ever. A couple of quarters ago we performed the largest stimulation job ever and now we’ve installed the deepest subsea boosting system ever. For six years we’ve partnered with a key customer to engineer and test this solution for subsea production to be deployed on an ultra deepwater well in 8,200 feet of water. The challenge is to maximize production while reducing the cost of interventions which can be extraordinary in this extreme environment. The result was the solution which integrates multiple high horsepower ESPs engineered for this particular application, and sophisticated monitoring equipment all combined within a horizontal booster cartridge. This configuration the first of its kind used in the Gulf of Mexico provides the production and recovery rates necessary to make this project economical, with a system that can be serviced with light well intervention vessel instead of a costly deepwater drilling rig. This reduces maintenance cost and extends production over the life of the well. This project is another example of our growing leadership position in the emerging ultra-deepwater frontier and demonstrates that Baker Hughes is the partner of choice when executing the world’s most complex production solutions. From highly customized deepwater projects like this to multi-well onshore field developments the demand for Baker Hughes production solutions is on the rise. This quarter in the Middle East we were awarded a five year contract to supply and service 400 electrical submersible pumps to a major client making this the largest artificial lift contract we’ve ever been awarded in this region. In North America FLEXPump ESPs continue to gain share in unconventional plays as the intelligent alternative to rod lift systems providing our customers with better reliability, greater production and lower maintenance costs. Combined with chemical injection services and real-time monitoring under the ProductionWave banner the number of such pumps sold during the first quarter alone nearly exceeded the total quantity sold all of last year. Not surprisingly the performance of FLEXPump has caught the attention of other operators globally. In Russia a customer measured FLEXPump power consumption versus a competitor’s ESP. Power meters at several well sites confirmed that FLEXPump utilized 20% less power than the competitor is offering and as such we secured an immediate order for units to be installed this year. The need to increase production and recovery rate is universal and fundamental to the economics of energy production. Baker Hughes is committed to be the world leader in helping solve today and tomorrow’s production challenges. To support this vision during the quarter we officially opened our artificial lift research and technology center in Claremore, Oklahoma. This technology center is the world’s most comprehensive facility dedicated to artificial research and testing. The facility includes its own dedicated substation to provide enough power that can currently operate fixed artificial lift systems up to 2,800 horse power each in a number of vertical and horizontal flow lifts which stimulate the different pressures and temperatures, fluid types and flow rates that maybe encountered in a producing well. The power and capabilities of this center are industry leading and designed to improve the reliability and performance of artificial lift technologies. The research effort is being led by a team of a 180 of the industry’s brightest engineers and scientists who are focused on solving the most pressing production challenges, from boosting initial production in unconventional wells to increasing ultimate recovery rates in the ultra deepwater frontier. Our continued investment in Claremore provides Baker Hughes with unmatched capabilities and talent to design, test and deliver future generations of production solutions beyond anything that exists today. The common thread to this center and each of the other projects that’s highlighted is innovation. Innovation is the cornerstone of our strategy to create long-term shareholder value. It’s been at the heart of Baker Hughes for more than a century. But it takes more than just innovation to win in today’s marketplace; it also takes execution. Execution comes from people, people working interdependently with a sense of ownership towards a common purpose. It’s execution that is accelerating the pace of new product introductions. It’s execution that is delivering strong growth in Middle East, Asia Pacific; more profits in Europe, Africa, Russia, Caspian and less risk in our Latin America business. And it’s execution that is growing our North American margins to mid-teens during the second half of this year. And this is just the beginning. The transformation of Baker Hughes is behind us. And we’ve been marching down a new path of innovation and integration. Today we are focused on execution with a new found sense of purpose. In exactly three weeks at our upcoming analyst conference we are going to show you what innovation and execution means for the future of this company, and why we have never been more excited about our role in shaping this industry. And with that Trey let’s take some questions.
Trey Clark: Thank you, Martin. At this point I’ll ask the operator to open the lines for your questions. To give everyone a fair chance to ask questions we ask that you limit yourself to a single question and one related follow up question. Larisa can we have the first question please?
Operator: Thank you. The first question is from James West from Barclays.
James West – Barclays Capital: Hi, good morning guys.
Martin Craighead: Good morning, James.
James West – Barclays Capital: Martin, you gave great color on North America so far this, the U.S. market especially so far this year in terms of the Permian leading the way and now we are getting out of the winter weather and things are getting better in other areas of the market. Do you think that we are at a point where pricing power starts to develop for those product lines that have been somewhat out of balance and they could come back in the balance here shortly or we’re still playing more of a utilization and volume game in North America?
Martin Craighead: No, I think James it’s little bit more of the later than the former. There is some pockets of, let’s say, tightness in a couple of product lines that you highlighted one. But there is some, where there is still some spare capacity. So overall I would say that it’s getting better, it’s going in the right direction but I wouldn’t bank a whole lot on a lot of pricing traction.
James West – Barclays Capital: Okay, do you think we could see pricing as we exit the year, is that a fair assumption or is that too hard to call this one?
Martin Craighead: My instincts tell me that it will be a little bit better by the end of the year than it is now.
James West – Barclays Capital: Okay, got you. And then just one follow-up from me on the new ESP technology that you’ve been highlighting for a couple of quarters now. Where do you think – I guess can you give us some – quantify some of your market share gain that you’ve had with this technology, obviously it’s innovative, it’s been adopted very rapidly. But how much of the market or how much of the artificial market is it taking so far?
Martin Craighead: As I said in my prepared remarks about twice what we did all of last year and a third and we’ll provide a little bit more insight to that in a few weeks James but a third of the sales in the first quarter, which were substantial sequentially from four to one in terms of total volume but a third of those were rod lift replacements.
James West – Barclays Capital: Okay, got it. That’s very good to hear. Thanks Martin.
Martin Craighead: You are welcome.
Operator: Thank you. The next question comes from Kurt Hallead from RBC.
Kurt Hallead – RBC Capital Markets, LLC: Hey, good morning.
Martin Craighead: Good morning Kurt.
Kurt Hallead – RBC Capital Markets, LLC: Hey, first thing on my mind here just want to make sure I heard correctly, Peter you mentioned that, that you expect second quarter earnings growth to be similar to the first quarter at least that’s what I thought I heard, can you help clarify that?
Peter Ragauss: Yeah, let me be absolutely clear. Don’t forget in Q4 Iraq adjusted we were at about $0.80, right. So the starting point is $0.80 and we went to $0.84 this quarter and we would expect a similar progression into Q2. We do not have another Iraq coming online like we did relatively speaking between Q4 and Q1. So $0.80 to $0.84 to similar progression.
Kurt Hallead – RBC Capital Markets, LLC: Thanks for that clarification. The other question I had was Martin when you talked about the U.S. market and the opportunity set going forward can you give us an update on where you think industry wide spare capacity is for frac right now, and as we progress into the second half of the year how much additional absorption do you think we may be able to see given your rig count and well count forecast?
Martin Craighead: That’s a question we’re all trying figure out exactly. I would say that we are at around 10% across the U.S., little bit worse in Canada in terms of spare capacity at this point and little bit to James’ earlier question there are couple of basins where essentially there is no spare capacity and there is some that – of course lot higher than the 10% within the U.S. market. And in terms of going forward very similar answer to the previous one, it’s going in the right direction, in a couple of those basins there is customers working hard to try to schedule the fleet that they need to get the work done, but like I say in some of the others there is plenty of capacity on the weekends and I think the markets from this point out with our forecast we may be more towards that are balanced by the end of the year less than 10% and the question is how much capacity comes in. We just can’t predict it any tighter than that.
Kurt Hallead – RBC Capital Markets, LLC: Okay. Then the – I think you guys have given some indications to investors and ourselves about hitting the mid-teens margin in North America. Want to get an update from you on your thoughts, obviously you are well along that progression here at 11% for the first quarter plus 11% for the first quarter. So can you give us an update on your thoughts on that mid-teens target and then in conjunction with that Martin may be an update on where you may stand in terms of 24x7 ops as a percent of your frac fleets right now.
Martin Craighead: Yeah let me take your last one first. We were around say 55% in Q4 of the stages pumped around 24 hours. We got close to 60% in Q1. And we remain committed to getting close to 70% later this year. In terms of your question around the mid-teens we feel very, very confident as we have from, as we told you couple of quarters ago. I would say you can pretty much put it in the four buckets Kurt. First there is an increase in well count as you highlighted and there is an increase in intensity on those wells, service intensity given the increasing mix to the horizontal side. And that will play well into our strength. Second we had a good quarter in the Gulf of Mexico in Q1. I think it will get better from here on out in particularly the second half as the mix continues to move more towards the completions. Our three vessels in the Gulf of Mexico are fully utilized and expected to remain that way. Third, we’re going to have continued improvement in the pressure pumping business for Baker Hughes. We are doing a lot of things we said we were going to do just moving in the right direction. Some of them go faster than the others but that business line has put together its sixth consecutive quarter of improving margins and there is no reason that that’s going to stop. And then lastly I think most significantly is the absorption of some of the new technologies whether it’s AutoTrack Curve, whether it’s the cemented FracPoint, whether it’s FlexPump and ProductionWave, these sell for significantly higher margins than the products that they are obsoleting. So you put those together no reason to be anything but fully confident that we will hit our target.
Kurt Hallead – RBC Capital Markets, LLC: Okay. That’s great, appreciate that answer. Thanks.
Martin Craighead: You’re welcome.
Operator: Thank you. The next question comes from Byron Pope from Tudor, Pickering, Holt.
Byron Pope – Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning. Martin just following on your response to that question on the North American margin progression and then thinking about the rig count forecast of U.S. onshore at 4% and U.S. offshore of 5% and with your technology uptick and your positioning in both the Gulf of Mexico and in the key U.S. onshore basin is it reasonable to think about top line growth in those U.S. onshore and Gulf of Mexico buckets as exceeding the rig count forecast that you – in terms of how you guys think about it?
Martin Craighead: Simple answer to that is yes, that’s what I would expect.
Byron Pope – Tudor, Pickering, Holt & Co. Securities, Inc.: Okay, and then you guys just had solid results in the Eastern Hemisphere for a while now. I had thought about the Middle East Asia Pacific region as potentially being the most robust top line driver for Baker Hughes here but it sounds like you gained meaningful traction in offshore West Africa in your business model and Russia continues to evolve. So as you think about your Eastern Hemisphere market and Middle East, Asia Pacific versus your West Africa, Russia Caspian how do you think about the growth prospects in the Eastern Hemisphere in those two regions and which one leads to the charge this year?
Martin Craighead: We have a pretty good rivalry going between those two super regions in East, so I don’t if I want to tip my hand to which one is going to outpace the other. But I’ll tell you that both are really coming along nicely and they – both of those super regions have some really nice work and opportunities ahead of them. The Middle East is and you can hear from everybody being led by the Kingdom there and we’ve highlighted that the highest rig counts that we’ve ever recorded in Saudi Arabia and that’s likely to continue. They are doing a lot of good work, the gas business and the unconventionals and but we shouldn’t forget there is other countries in the Middle East, the UAE and Kuwait in particular, I think are also increasingly trying to booster their spare capacity. China would be right there in the mix, but if we move further West and as you highlighted particularly West Africa has set up really nice for Baker Hughes over the last twelve months. We’ve got fabulous leadership from the very top all the way down within the respective countries, we are indigenous, we are local, we understand the customers. The geo markets there really gaining traction as are the product lines. We have some very nice growth projected in Angola, a lot of nice wins in deepwater and if you move down around the Horn our position on wireline and drilling services and completions in both South Africa as well as Mozambique is strong. So West Africa as you highlighted in the Middle East and not only Saudi Arabia are going to be two biggest hot spots we have. That all said as we’ve highlighted on previous calls Norway is still a significant revenue driver for this company a big completions contract kicking in the second half which will run for, well five year plus and Russia has come on extremely strong in the last couple of quarter both in terms of top line and margins. So these are the ones there is really growth positive versus some of the soft spots if you will.
Byron Pope – Tudor, Pickering, Holt & Co. Securities, Inc.: Thanks Martin, appreciate the color.
Martin Craighead: Welcome.
Operator: Thank you. The next question comes from Bill Herbert from Simmons & Co.
William Herbert – Simmons & Company International: Good morning.
Martin Craighead: Good morning, Bill.
William Herbert – Simmons & Company International: So Martin, the Permian obviously has been quite strong and likely stronger than everyone expectations and sort of remains the main engine of growth. Can you talk to us a little bit about your wherewithal to capture that growth in light of what appeared to be pretty tight labor constraints and what labor constraints are you confronting, if any, and what are doing to rectify those?
Martin Craighead: That’s a great question, Bill. So the Permian is at the heart of our North American business. It has been for a long time on every product line. We are well situated. We have great relationships would be operators and the application and technology I think in the Permian is – it’s very ripe as these stack plays continue to surprise to the upside. And to your labor question, you know it is – it’s an issue for everyone there. I’ll tell you that the Baker Hughes brand attracts a lot of talent. It’s for a variety of reasons depending on whatever you are looking for but if you are looking for more than a Permian opportunity, if you are looking for ripe product line portfolio to participate in. it’s a company you are going to want to work for and that’s all the way down the full chain, from our field crews all the way to our management and engineers. The other thing I would put in there Bill is that, we are getting a lot better at the efficiency side of the business on a couple of fronts and you know the stimulations side the most where we are still in the learning curve. And then getting more stages per day on a per headcount if you will and per fleet. So attracting talent out there is a challenge for everyone. I think we are doing better than most, and the ability to effectively and appropriately leverage that talent to get the work done it’s going in the right direction. So I feel good about it.
William Herbert – Simmons & Company International: Okay, so my understanding is that you were for a part of Q1 sold out in the Permian not necessary due to horse power because of labor. But it sounds as that you don’t necessary have any concerns about meeting the continued onslaught of growth because of the efficiencies that you are realizing.
Martin Craighead: Do I have concerns – I will – I am paid to worry about everything. So I have concerns about everything, but I can tell you that our folks out there are managing it pretty effectively and I am not worried about us let’s say not being able to take care of our customers or generate our numbers because of the labor.
William Herbert – Simmons & Company International: Okay, and then secondly with regards to your guidance, your updated guidance, you upgraded your U.S. land mix forecast but your lateral well count forecast are the same up 5%. And you referenced overall well count declining year-over-year. But if you could focus on a horizontal well count for a second in relationship to the horizontal rig count and at least on our numbers, the well count increased by over 25% year-over-year versus the rig count increase at 13%. So on that particular front efficiencies clearly are being realized to a significant extent, would you agree with that?
Martin Craighead: Yes, I would, completely.
William Herbert – Simmons & Company International: Okay, great. Thank you very much, great quarter.
Martin Craighead: Thanks Bill.
Operator: Thank you. The next question is from Jim Crandell from Cowen.
James Crandell – Cowen Securities LLC: Thank you. Martin I had a couple of questions about U.S. pressure pumping. Number one, could you talk to the progress that you are making in differentiating your frac offering and your attempts to add more technology in that operation? And then secondly, also on U.S. pressure pumping, how far are we along in all of these sort of self-help measures in pressure pumping to improve profitability? We are getting towards the end of that or is there still a fair amount you can do to improve profitability through internal means there?
Martin Craighead: Okay, good morning Jim. I would say that – let me take the second part of your question. In terms of how much runway is left depends on the activity, if you remember when we started these initiatives a lot of it was redeploying the assets, building infrastructure, now that’s essentially completed. On the other end of the spectrum Jim, what’s internally perfectible is your contracts and contract management, the customer mix we are working for and there – we are still under early innings but it’s already paying dividends. And in between we had issues around supply chain, improving logistics, freight, repair and maintenance. I’d say these are half to maybe three quarters where they need to be but you never give up on being more efficient in any of those elements. The technology side, in terms of moving the margin had a lot to do with self-help initiatives around what we call driving the fly and some other activities. Probably most of that was realized in the first quarter and all of it will be realized in the second quarter as the units roll out. So it’s a continuum. Infrastructure and repositioning of fleet’s completely done, and contract management and customer mix is still in the early stages and everything else is in between. And in terms of technology around pressure pumping it’s on a variety of fronts. Besides the self-help, implementation of technology to reduce cost or improve efficiency, there is around fluid design, fluid chemistry we are really excited by something called Ultra Sorb which is a proppant like material developed by our own chemists and chemical engineers and scientists has crush properties similar to proppants and yet has the ability to take care of the produced fluid and reduce particulates and flocculation and things like that. It’s a brilliant technology, it’s in its early stages but you can imagine packing the fractures with chemistry in at the cool face if you will, to prevent problems from occurring in terms of precipitation. It’s something that we are pretty excited about, you’ll hear more about it in a few weeks. And then lastly pressure pumping is all about tying to other product lines. Now I wouldn’t want to be in that business by itself because we see it as the ultimate connector between wireline, completions, drilling services, reservoir evaluation, production engineering and artificial lift. It is the sensor of our world in many ways and it stimulates technology in some of other areas based on what we can do in fracing, so OptiPort, infinite number of stages it can be applied to cold tubing, activated sleeves, is rapidly evolving and developing in itself because of what we’re able to do on the fracing side. So a lot of technology for fracing but I think the way to look at it is what fracing does for some of the other product lines.
James Crandell – Cowen Securities LLC: Thanks, Martin. And just as a sort of related follow-up and my second question has to do with Iraq and have you had enough experience now drilling in Iraq that excluding the possibility of sort of unrest in the region hurting your operations there do you have enough experience with the drilling of the wells that you are feeling confident on your performance over there and your ability to make your so called budget I guess or your expectations in terms of the project as the wells are being drilled on a turnkey basis?
Martin Craighead: Short answer to your question Jim is yes. The learning curve has been expensive and painful in a couple of different ways but our drilling performance is dramatically improved. I think what’s critical there as I have said before I have zero appetite for additional projects with the terms and conditions that we unfortunately signed up for before we won’t make that mistake again. The terms and conditions of pricing, the risk profile there has to be better alignment between the customer community and ourselves before we step into other projects. Will we step into other projects like in terms of lump sum turnkeys possibly but it will be a completely different contract than what we have today.
James Crandell – Cowen Securities LLC: Right, good. Okay, very helpful Martin, thank you.
Martin Craighead: You’re welcome.
Operator: Thank you. The next question comes from Angie Sedita from UBS.
Angie Sedita – UBS Investment Bank: Hey, thanks. First congratulations on the quarter, very well done.
Martin Craighead: Thank you.
Angie Sedita – UBS Investment Bank: So Martin when you – well I guess I should take up the question on North America margins in Q1 and the contribution from wireline technology, you obviously had a 200 basis point decline. Could you give us a rough idea how much that new wireline technology contributed to the quarter as far as potential gain?
Martin Craighead: Honestly I can’t. I can’t quantify for it, I can tell you that it’s – I mean has margins that frankly are higher than probably any of the product line when that particular technology is used and we’re talking about the deep basin in the Gulf of Mexico. But in terms of its actual basis point contribution, given the size of the business I can’t tell you offhand, I am sorry.
Angie Sedita – UBS Investment Bank: Okay.
Peter Ragauss: But – this is Peter, but the [inaudible] was a big contributor to the sequential improvement in operating profit and a lot of this wireline and drilling services technology was a big part of it, so Gulf of Mexico.
Angie Sedita – UBS Investment Bank: Okay, that’s helpful. And then when you think about your strategy for North America land in frac at least for 2014 not ‘15 but when you think through your strategy for the year, is it fair to assume that you would be more focused on increasing your 24x7 operation or do you think you have an opportunity to redeploy idle equipment?
Martin Craighead: That’s a great question, Angie and first and foremost we use what we have currently in the yard and ready to work. So utilization is the number one priority and we still have more opportunity there, a lot more and as I kind of highlighted in a couple of the previous questions we’re being restrained in one or two basins but three or four other basins utilization isn’t where it needs to be, so I would say that’s the first opportunity. In terms of reactivating horsepower we can do that but I don’t foresee that any time soon.
Angie Sedita – UBS Investment Bank: Okay, good to hear. And then on the basins as we’ve discussed Permian is clearly tight at the moment, is there a belief that people and equipment will be mobilized into the Permian and other basins to somewhat neutralize or equalize the tightness there, number one? And number two, do you see any other basins that could become as tight and as large as that region or is the market in the U.S. going to be fairly lopsided and very basin specific for the rest of 2014?
Martin Craighead: I would take your – I would say that the South Texas is falling nicely along and could end up in a couple of quarters where the Permian is now. And next to that would be your Northeast region and I don’t think we should forget about the Utica. I think it has the opportunity to surprise to the upside and absorb capacity out there relatively quickly. So that’s how I would outline that. And I am sorry Angie could you – the first part of your question?
Angie Sedita – UBS Investment Bank: Is equipment and people mobilizing into the Permian where we would equalize the tightness there, therefore the tightness we’re seeing today start to diminish.
Martin Craighead: Right and equipment goes where it’s loved the most. So I think that’s already happening. And yet the absorption, the appetite that the customers have are still exceeding what can be done. I think to the question that Bill asked earlier around labor if you are Baker Hughes or if you are couple of our larger peers, and you need to step up we can do it. If you come in into the Permian and no one knows who the heck you are and you don’t have an existing work force or a local representation, I think it’s going to be hard for you to man that fleet. So I am not so sure that there is a whole lot of downside risk to equipment coming from other basins into the Permian. It’s not that easy for some folks.
Angie Sedita – UBS Investment Bank: Okay, thanks so much. I will turn it over.
Operator: Thank you. The next question comes from Jim Wicklund from Credit Suisse.
Jim Wicklund – Credit Suisse: Good morning guys.
Martin Craighead: Good morning, Jim.
Jim Wicklund – Credit Suisse: One other company this morning reported and they said that they are gaining market share in domestic pressure pumping led by technology. You guys have obviously been rolling out more technology than we’ve seen in a very long while. Should we expect to see the big three gain market share on the smaller guys or are the big three just swapping market shares among themselves?
Martin Craighead: It’s funny, how everybody is gaining market share isn’t it?
Jim Wicklund – Credit Suisse: I think, it’s right and it’s those other guys you got to look out for.
Martin Craighead: No, I know. But that’s a very fair point. I wouldn’t debate it, what was said. And we feel confident with the growth in our business that we are gaining share on a couple of different fronts. And I have said this for a long time, the integration of pressure pumping Jim there was this first revolution around just cost, cost, cost, the stage wars, efficiency and I’ve been saying for quite a while that there is not a whole lot of juice that you are going to get out of that lemon for much longer. We got to drill smarter wells, better wells perhaps even fewer wells and keep those recovery factors and EURs up in those basins and to do that you need to have a first rate frac fleet and organization but you got to have strong op mechanics organization, you got to have a world class formation evaluation group, you got to have a completions portfolio that can address every possible outcome and need. And then if you can plumb that well with artificial lift and chemicals you are going to gain share in every product line. So I don’t – the integrated model – absolutely.
Jim Wicklund – Credit Suisse: Sounds like the integrated model is going to – guys who just provide brawn and that level of technology. I kind of prompted that question but I appreciate that, Martin. Second thing in Iraq Jim brought it up and you had said that because Iraq recovered operating income had record levels, is that, is Iraq possibly had just a reduction in loss and if it’s where do you expect margins to go in Iraq over the rest of this year?
Martin Craighead: I expect our margins in Iraq to continue to work up. We are not currently profitable in the country as a whole. The North part isn’t large enough for us to offset the challenges we still experience in the Southern part of the country. But U expect that business overall to improve from here on out.
Jim Wicklund – Credit Suisse: Okay.
Martin Craighead: As it was, Jim, as it was prior to the unfortunate episode in the fourth quarter of last year, Amen.
Jim Wicklund – Credit Suisse: Last question if I could we’ve talked about performance incentive and performance-based contract seeming to gain steam, does Baker play in that market?
Martin Craighead: Significantly in virtually all key basins, completions contracts in the North Sea, drilling contracts in Angola, Nigeria, of course other parts of Latin America outside of Brazil and an increasing appetite to put skin into the game and align with our customers and again in North America and given that portfolio capability and the opportunity to help them drill better wells, get those IPs up and EURs up and it’s not as easy to keep getting their cost down. We’re stepping into that category increasingly more, yes.
Jim Wicklund – Credit Suisse: Excellent. Martin, thank you very much.
Martin Craighead: You’re welcome. Thank you.
Operator: Thank you. And the next question comes from David Anderson from JPMorgan
David Anderson – JPMorgan: Thanks. Good morning. Just a quick question on your CapEx. I think it was trailing below $2 billion this year, how does that look for the rest of the year and is that an influence on the buybacks or on size of buyback can you kind of comment on how if they are related at all?
Peter Ragauss: We’re still sticking to $2 billion in CapEx for the year. We were just little bit light in the first quarter. And I guess ultimately they are related but they are not directly linked. In regards to buyback program we generated a record free cash flow last year, $1.5 billion, we expect to generate cash flow in 2014 and 2015 and keep our CapEx pretty much in line with where we’re today. So ultimately they are related but there is a lot of cash being generated, regardless of slight changes in the CapEx program from quarter-to-quarter.
David Anderson – JPMorgan: So with that free cash flow growth can we assume the buybacks program should also increase kind of steadily through the year or is that am I reading into it too much?
Peter Ragauss: You’re reading into it too much. But we’ve put the buyback program in for a reason and we will utilize that reason.
David Anderson – JPMorgan: Okay, Martin a quick question on Gulf of Mexico, I am not sure if I heard you explicitly talk about your outlook. I mean are you still expecting rigs to come in to the market through the year, I know it was a contributor to margins this quarter. Can you comment a little bit how you see that market developing this year and internally next year?
Martin Craighead: Yeah, good morning, Dave. We took a bit of – and we’ve been proven right in terms of what our rig forecast was going to be in the Gulf of Mexico. And it’s right exactly where we predicted it and it maybe a little bit behind what some others predicted. And here on out we expect it to grow a few more sequentially. So the Gulf of Mexico will play a big role in our North American margin growth. And the big part of that is the three boats that are just about fully utilized in March they were and I don’t see any reason why that’s not going to continue, again partly because of rig growth count – rig count growth sorry and the increasing shift towards completions.
David Anderson – JPMorgan: Okay, along the same line Martin there is a comment there by two big perforation services and hearing some of about that in onshore I think that was related to offshore, is that correct and if that is correct do you see that being the means for lower tertiary development, is that going to be one of the keys, do you think going forward?
Martin Craighead: I think it will be for HPHT ballistic devices in terms of blasting caps and so forth in HPHT environments if you can go with a different type of system it’s far superior. So I think it’s going to be a big contributor down there.
David Anderson – JPMorgan: Okay, great. Thank you.
Peter Ragauss: You’re welcome.
Martin Craighead: Thanks, Dave. Appreciate it. Larissa we’ve got time for one last question please.
Operator: Thank you. Our last question comes from Scott Gruber from Bernstein
Scott Gruber – Sanford C. Bernstein & Co.: Hi. Good morning. Just a quick question on the offshore market, clearly seeing the majors pushed down rig rates there, service companies never secured a whole lot of pricing power offshore post-recession. Are the majors coming to you guys demanding pricing concessions on any product lines?
Martin Craighead: No, no, I can’t say they are. Certainly there is a quite a bit of discussion in the marketplace around all these drill ships and so forth that were coming in. I tell you the more the merrier from our side, Scott; just more platforms literally to work our folks. But in terms of as I highlighted earlier in one of the questions West Africa and the Gulf of Mexico in our market services we play from pressure pumping to all of the others, 70% of the spend in deepwater is between the Gulf of Mexico and West Africa, with Brazil and North Sea behind that and the least being Asia Pacific and the little bit in the Middle East. And if we look at those two big basins, or if you will regions, West Africa and the Gulf of Mexico our deep guys have told us that our customers’ are every bit as ambitious to carry out their projects through 2017. And in one particular conversation I had there is over 200 lower tertiary wells planned in the deepwater Gulf of Mexico alone between the key players and that’s not I just don’t see that going away.
Scott Gruber – Sanford C. Bernstein & Co.: And you highlighted in the previous response that the Gulf of Mexico was living up to your expectations from a volume standpoint. Is the rest of the offshore markets largely doing so as well?
Martin Craighead: All except our friends to the south. As I highlighted in our call we had some great performance we continue to in Brazil but the number of rigs working there on the drilling side have been shifted towards the production side, I expect and as well as I think some of the budget going on to land in Brazil I think that will come back later this year or early next year. But other than that I’d say it’s every bit as we expected if not a little bit better.
Scott Gruber – Sanford C. Bernstein & Co.: Okay. That’s all from me, thanks.
Martin Craighead: You’re welcome.
Trey Clark: All right. Thank you. This concludes our earnings conference call for today. Larissa you can close out the call.